Operator: Ladies and gentlemen, thank you for standing by for Fanhua’s First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. All lines have been placed on mute to prevent the background noise. After the management’s prepared remarks, there will be a question-and-answer session. Please follow the instructions given at that time if you would like to ask a question. For your information, this conference call is now being broadcasted live over the Internet. Webcast replay will be available within three hours after the conference is finished. Please visit Fanhua’s IR website at ir.fanhuaholdings.com under the Events & Webcasts section. Today’s conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today’s conference, Ms. Oasis Qiu, Fanhua’s Investor Relations Manager.
Oasis Qiu: Good morning. I hope everyone is staying safe and healthy. Welcome to our first quarter 2020 earnings conference call. The earnings results were released earlier today and are available on our IR website as well as on Newswire. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. The accuracy of these statements may be impacted by a number of business risks and uncertainties that could cause our actual results to differ materially from those projected or anticipated. Such risks and uncertainties include, but not limited to those outlined in our filings with the SEC, including our registration statement on Form 20-F. We do not undertake any obligation to update this forward-looking information except as required under applicable law. Joining us today are our Chief Executive Officer, Mr. Chunlin Wang; Chief Financial Officer, Mr. Peng Ge. Mr. Wang will provide a review of our financial and operational highlights in the first quarter 2020. There will be a Q&A session after the prepared remarks. Now I will turn the call over to Mr. Wang.
Chunlin Wang: [Foreign Language] Thank you for joining us for today's conference call. Here with me we have our Chief Financial Officer, Mr. Peng Ge. We will begin today's call with an overview of our first quarter 2020 financial and operational results and our take on long-term trends. Mr. Ge and I will take your questions after the report. Fanhua outperformed the industry and overcame the cost challenge of COVID-19. Global economy has been hit hard by the COVID-19 outbreak and the life insurance industry has also been severely challenged. In the first quarter of 2020, premiums of China's life insurance industry grew by 2.7% year-on-year, while Fanhua’s life insurance business grew by 9.3% year-on-year to RMB2.4 billion in gross written premiums outpacing the industry growth. Of the RMB2.4 billion, first year regular premiums were RMB500 million while renew insurance premiums were RMB1.88 billion. Operating profit exceeded expectations verifying the snowballing effect of our profit model. Affected by the pandemic, a large number of enterprises at home and abroad have suffered severe losses with many struggling to survive. Against this backdrop, Fanhua do realize operating profit of RMB60 million and net operating cash inflow of RMB134.6 million which fully verified snowballing effect of Fanhua’s profit model and confirmed the tenacity and the strength of its business model. Fanhua’s business and operation model of integrating offline to online has matured representing the most advanced productivity in the industry. We firmly believe that the integrated offline to online model is the most scientific model for the distribution and services of long-term life insurance. Over the past six years, Fanhua has been committed to pursue the integrated offline to online model each during this outbreak has been fully verified as the most scientific way for insurance sales and services. Any model that operates solely online or offline will find it difficult to maintain competitiveness and sustain development. In the face of pandemic, we have carried out our operational activities such as training, marketing, agent recruitment, customer acquisition, sales practices, and completion of transactions. In integrated online and offline model by leveraging our strengths in digital technologies and extensive offline distribution and service network in order to minimize the impact of the COVID-19 outbreak to the greatest extent. At the end of April, the average daily visits of Lan Zhanggui exceeded 230,000 times. There were also more than 12,000 online training hosted attracting more than 1.6 million online attendance. In addition, more than 10,000 product workshops, entrepreneur agent recruitment workshops and client engagement activities were hosted by our agencies nationwide, attracting a total of over a million attendance. Despite uncertainties brought by the global pandemic by taking effective countermeasures, Fanhua is confident that it will outpace industry growth and achieve positive quarter-over-quarter growth in the second quarter of 2020. Previously, we have predicted that the COVID-19 outbreak would be nearly over in China by the end of March. So our business could start to recover rapidly in the second quarter. However, as the pandemic went rapidly around the world, the resumption of work and production in China has been constrained to certain degree. Our business activities originally planned such as agent recruitment, training, product seminars, entrepreneur, agent seminars cannot be carried out which to a certain extent affected interactions between our sales agents and customers resulting in a decline in the proportion of high ticket savings type insurance products. For example, in the first quarter of 2020, the proportion of annuity insurance and whole life insurance products in terms of APE decreased to 26.3% in the first quarter of 2020 from 54.1% in previous quarter while critical illness insurance sales increased from 44.2% to 71%. Similarly it is expected to continue to pose a significant impact on our second quarter results. However, with the end of the pandemic, the sales of saving type insurance products is set to rebound significantly driving business growth. Since the outbreak, Fanhua has responded with scientific and vigorous countermeasures, including introducing full supportive policies for our employees and agents, which committed to no lay-offs, no pay cut, provision of CARE subsidy for employees and agents impacted with Coronavirus and alleviation for entrepreneurial teams to support business development. These policies have been well recognized by the community, industry and all Fanhua team members. They also help keep our employees and agents united and motivated. Since the beginning of May, our agents across China has gradually resumed offline training, agent recruitment and sales activities. We remain optimistic about getting our business development back to normal soon. For the second quarter of 2020, we expect APE will be no less than RMB350 million and operating income will be no less than RMB70 million. As insurance industry is essential for Fanhua’s China's vision to develop into a financial powerhouse, we firmly believe that a rapid growth trend of China's insurance industry remains unchanged in the long-term. After the outbreak, consumers risk awareness will also be greatly enhanced and active insurance purchase will become a trend which will usher in immense growth opportunities for Fanhua. Continued quarterly dividend policies, despite the uncertainty caused by the outbreak, the companies do have the confidence to maintain profitability and stable cash flow. Therefore, the management reiterate that the company's quarterly dividend policies will remain unchanged. Dividend for the first quarter of 2020 is US$0.25 per ADS payable on or around June 24 2020 to shareholders of record on June 10 2020. This concludes my presentation. Now the floor will open for your questions.
Oasis Qiu: Hi, Christian, we can start the Q&A session.
Operator: Certainly, ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Xue Yuan from CICC. Please go ahead.
Yuan Xue: [Foreign Language] I have two questions here. The first question is regarding to the resumption of work by agents in May. I wonder how is it compared with the normal level, normal business level? And then secondly, there was a loss from CNFinance in the first quarter, when the company, when CNFinance will be expected to return to profit?
Chunlin Wang: [Foreign Language] So the first question will be answered by Mr. Wang and the second question will be answered by our CFO, Mr. Ge. As I mentioned just now, we have start resumed offline business activities since May. However those offline activities are still subject to some kind of restrictions. For example, the government may impose some restrictions on the size of the number of the gatherings and in certain regions gatherings is still subject to approval by the local government. And in addition to that, the agents themselves are also still kind of reluctant to join offline activities immediately. And offline activities may not equal to full resumption of work and maybe better quantified by our business results. According to our preliminary results in May, our new sales is about 80% of our normal level. I would like to invite Mr. Ge to answer the question.
Peng Ge: [Foreign Language] The loss from CNFinance is mainly due to the impact from COVID-19. As you know, CNFinance mainly originated loans to micro and small business owners and this business owners will apply for the loans where there personal residential house as the security to guarantee the repayment of the loan and due to the COVID-19, their income for small business owners has dropped significantly in the first quarter. So the number of delinquency of loans has also increase in the first quarter. And in addition to that, there is a new accounting rule implemented in January the 1st which is the CECL, the current expected law, that’s the new accounting model which will require to take into account the duration of the future economic outlook due to the COVID-19. So with this more stringent accounting policies, CNFinance increased their allowance for non-performing loans, so that's the main reason for the loss. In addition to that, CNFinance also faced difficulties in through resumption of work and also engagement with customers offline. So, they do expect that the delinquency or the non-performing loans may further increase in the second quarter, but they do expect that things will tend to much better and will improve in the third quarter. Having said that, the loans that they originated to the small business owners are secured by personal residential house with the loan to value ratio at around 60% to 70%. So, even though with the allowance for the delinquency loans, their credit quality remains good. Thank you.
Operator: The next question comes from the line of Debra Fiakas from Crystal Equity Research. Please go ahead.
Debra Fiakas: Thank you very much for taking my questions in English. I have two questions. The first is in regard to the unemployment that has resulted because of the pandemic. And I was hoping that you might educate an American a bit on how Chinese people handle an unemployment situation? Does the Chinese consumer prioritize insurance? Is there any reason to be concerned that you might see a negative impact on renewal premiums because people are not able to pay their premiums? Or do they set it a very high priority and make certain that bill is paid? And then my second question is in regard to something that is in the press release regarding gross written premiums, I noted that that had increased and I wondered if you could help me by defining what gross written premiums are they? Are they policies that have been written but have not yet been paid? Thank you.
Oasis Qiu: Thank you for question. [Foreign Language]
Chunlin Wang: [Foreign Language] It's kind of difficult for us to define employment in China. As in China, many people actually also own the land in the rural areas. So in addition to a job in the city, they may also keep a land and can be farmers when they come out of job. So in China, we don't see a huge pressure in unemployment rate and as many people who don't really live on social base funds and they have other means to make a living. As we mainly focus on selling long-term life insurance business, so the newer way is the crucial matches for us. And it's true that the COVID-19 has posed some pressures on the persistency ratio, on the renewal ratio especially for the larger ticket insurance policies. We do say some cases of some insured facing difficulties to pay for their renewer premiums as some of them are business owners because they lost a lot of income due to the COVID-19. So they have difficulty for a short period, but we’re trying to make some arrangements to help them to pay the renewal premiums on time. In addition, having said that, we need to know that China is the country with a lot of people have a lot of savings. So the impact there for six months of COVID-19 doesn't really pose a huge impact on the renewal ratio. Based on our first quarter results, our 13 months persistency ratio in the first quarter of 2020 is much similar to that level in last year which is over 90%. In terms of gross written premiums, we only take into account for the premiums paid for the regular insurance policies. These premiums doesn’t include those premiums for short-term products. And the total written gross premiums includes new first year premiums and the renewal premiums, which are already paid and settled by with insurance companies. So which means those are the premiums for all the valid insurance policies. Thank you.
Operator: [Operator Instructions] Thank you. If there are no further questions at this time, I'd like to hand the conference back to today's presenters, please continue.
Oasis Qiu: Thank you for joining us on today's conference call. If you have any further questions, please feel free to contact me. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.